Operator: Hello. My name is Megan and I will be your operator this morning. I would like to welcome everyone to the Garrett Motion Fourth Quarter and Full Year 2024 Financial Results Conference Call. This call is being recorded and a replay will be available later today. After the Company's presentation there will be a Q&A session. I would now like to turn the conference over to Cyril Grandjean, Garrett's Vice President, Investor Relations and Treasurer.
Cyril Grandjean: Thank you, Megan. Good day and welcome everyone. Thank you for attending the Garrett Motion fourth quarter and full year 2024 financial results conference call. Before we begin, I would like to mention that today's presentation and earnings press release are available on the IR section of Garrett Motion's website at investors.garrettmotion.com. There you will also find links to our SEC filings along with other important information about the company. We note that this presentation contains forward-looking statements within the meaning of the U.S. federal securities laws. These statements, which can be identified by words such as anticipate, intend, plan, believe, estimate, expect, likely, may, should, will or similar expressions represents management's current expectations and are subject to various risks and uncertainties that could cause our actual results to differ materially from such expectations. These risks and uncertainties include the factors identified in our annual report on Form 10-K and other filings with the Securities and Exchange Commission and includes risks related to the automotive industry, competitive landscape and macroeconomic and geopolitical conditions, among others. Please review the disclaimers on Slide 2 of our presentation as the content of our call will be governed by this language. Today's presentation also includes certain non-GAAP measures, which we use to help describe how we manage and operate our business. We reconcile each of these measures to the most directly comparable GAAP measure in the appendix of our presentation and related press release. Finally, in today's presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline products by using the terms diesel and gasoline only. With us today are Olivier Rabiller, Garrett's President and Chief Executive Officer; and Sean Deason, Garrett's Senior Vice President and Chief Financial Officer. I will now hand the call over to Ollie.
Olivier Rabiller: Thanks, Grandjean, and thank you everyone for joining today's call. As you can see on Slide 3, Garrett delivered strong results in the fourth quarter, thanks to an outstanding operating performance delivering adjusted EBITDA of $153 million with a margin of 18.1%, an increase of 280 basis points compared to Q4 2023. And we achieved that despite the continuous sales softness that the company experienced, thanks to its exposure to light vehicle industry weakness in Europe and in China, as well as the competitive pressure certain OEMs are facing. At the same time we kept winning new business across all applications, demonstrating the strength of our technology called leadership. But let's get back to operational performance. Our strong operational performance enabled us as well to generate $157 million of adjusted free cash flow in the quarter, allowing us to buy back stock under our share repurchase program, repurchasing a total of $296 million of common stock in 2024. This resulted in a reduction of 13% of our share count at the end of 2024 compared to the end of 2023. Our full year results continue to demonstrate our ability to flex our variable cost structure and proactively implement permanent cost actions which allowed us to deliver a 17.2% adjusted EBITDA margin for the full year. When you adjust for foreign exchange and the sales of our unconsolidated joint venture in Australia, we delivered an adjusted EBITDA near the midpoint of our initial 2024 guidance and thus despite the softness we experienced, this is quite remarkable. We believe the actions we have taken in 2024 position the company to deliver solid performance in 2025, offsetting again the impact of expected weak global industry production. Excluding foreign exchange, we also expect to deliver similar adjusted EBITDA to 2024. We also expect to generate strong adjusted free cash flow and use it to keep on returning value to our shareholders through a combination of share repurchases, regular quarterly dividend. Our Board of Directors has indeed authorized a new $250 million share repurchase program for 2025 and we expect to pay $50 million in dividends throughout the course of the year, with the first quarterly dividend of 6% per share already paid in January. Let me now move to Slide 4 so that we can share the momentum we experience with our customers. Looking at full year 2024, we continue to expand our position in turbo, maintaining our strong business win rate of more than 50%. We secured new light vehicle gasoline wins across all geographies, reinforcing our position in the U.S. and growing in China, especially with new Chinese players. The these win covered all powertrain types including plug-in-hybrids and range extenders for which we see a growing push from car makers. We also kept on making significant progress in commercial vehicles across the world, more specifically, we are pleased with the progress we have been making in China, winning several natural gas on highway applications that will launch as early as 2026. Lastly, we secured new awards for marine and backup power application with our largest turbochargers as we expand our portfolio and we expect production to start also in 2026. Turning now to Slide 5, I am very proud of the significant progress we made in 2024 validating our electrification solution with key customers who recognize the benefits of our differentiated technologies. We indeed continue to win with our extensive fuel cell compressor portfolio, the broadest in the industry with best-in-class efficiency, and we continue to win new projects for fuel cell applications. With our E-Powertrain high speed technologies, we are seeing several passenger and commercial vehicle customers embracing and testing our advanced 3-in-1 high speed technology solution. During the year, we've been moving from prototyping to testing in labs and on vehicles to first production awards expecting to launch as early as 2027. This validates again the benefits of the high speed differentiated electric powertrain solutions that Garrett has focused on. Leveraging on this significant progress, we expect much more to come in 2025. Finally, our E-Cooling compression technology is generating significant interest for both automotive and non-automotive applications. On the automotive side, it's a very good fit for battery and cabin cooling for commercial vehicle and for industrial application, we see significant interest for residential, office building, rooftop cooling as well as cooling solutions for data centers and battery farms. I will now turn it over to Sean to provide more insight into our financial results and outlook for 2025.
Sean Deason: Thanks Olivier, and good morning, everyone. I will begin on Slide 6. As Olivier highlighted, once again we delivered strong financial results in a soft industry environment driven by our continuous focus on variable cost management and the implementation of structural cost productivity actions. Fourth quarter net sales were $844 million, slightly up sequentially stabilizing after declines over the past four quarters as new program ramp ups offset continued softness in Europe and declines in gasoline and diesel light vehicle production. We recorded fourth quarter adjusted EBITDA of $153 million, up $8 million from $145 million last year. This improvement was driven by variable and fixed cost productivity, deflation and favorable product mix, partially offset by lower volumes and an unfavorable foreign exchange impact. The performance this quarter once again demonstrated our ability to deliver strong financial performance across industry cycles, as can be seen in the upper right graph. Adjusted EBITDA margin was 18.1% for the quarter, up from 15.3% last year and up sequentially, benefiting from the actions just mentioned. We generated very strong adjusted free cash flow of $157 million in the quarter, up from $137 million in Q4 2023, as we converted our adjusted EBITDA into cash and benefited from a positive working capital contribution. We expect to continue to deliver a 60% adjusted free cash flow conversion on adjusted EBITDA annually in line with our capital allocation framework. Moving now to Slide 7. We show our Q4 and full year net sales bridge by product category as compared with the same period last year. For Q4, we continue to experience gasoline softness in China and North America, which was partially offset by ramp ups in Europe comprising 45% of net sales flat from last year. The diesel decline we saw in Q4 year-over-year was mainly due to lower industry production, primarily in Europe where we have a higher share of demand. We also saw a slight increase in commercial vehicle sales, which reflects the beginning of an industry recovery in China and North America. As mentioned, for the full year, we experienced both industry declines and demand softness from specific global OEMs due to competitive pressure in the auto space, in some cases forcing them to accelerate platform consolidation. Revenue from our commercial vehicles throughout the year was impacted by economic softness in Europe and North America, but our aftermarket business increased 1% at constant currency due to the continued demand for replacement parts, primarily in China and Europe. Finally, on a full year basis, the pass-through of commodity deflation across all verticals resulted in a 2% sales decline and foreign exchange was a headwind of $34 million [indiscernible] Japanese yen volatility and a weakening Europe. Moving now to Slide 8. We walk you to our fourth quarter adjusted EBITDA of $153 million, representing again an $8 million improvement over the same quarter last year. We achieved this strong performance by delivering fixed cost productivity coupled with strong price and inflation recovery. This execution drove significant quarterly margin improvement year-over-year, allowing us to deliver a strong adjusted EBITDA margin of 18.1%. Overall in the quarter, we delivered $37 million in operating performance improvements year-over-year, offsetting both volume declines and a negative foreign exchange impact. For the full year 2024, we delivered adjusted EBITDA performance of $598 million, representing a $37 million decrease from the prior year driven by sales declines in foreign exchange, partially offset by operating performance. Our full year adjusted EBITDA margin was 17.2%, up 90 basis points compared to the prior year. If you adjust for the impact of foreign exchange and divestiture activity during the year, the effect of the volume decline is almost completely offset by our operational performance of more than $100 million and reflects the impact of structural fixed cost productivity actions and our ability to flex our variable costs in a volatile industry environment. While the industry environment was challenging in 2024, we continued to increase investments supporting the development of differentiated technologies in both turbo and zero emission applications, increasing spending on R&D by $12 million as compared to the prior year. And turning now to Slide 9, I'll walk you through the adjusted EBITDA to adjusted free cash flow bridge for the full year 2024. The company's adjusted free cash flow of $358 million represents a 60% adjusted free cash flow conversion of adjusted EBITDA in line with our financial framework. We had minimal working capital usage on a full year basis with a strong recovery in Q4 as the industry stabilized. Cash taxes and cash interest were in line with expectations and our capital expenditures of 2.6% of sales were within our financial framework. Moving now to Slide 10, we ended 2024 with a strong liquidity position of $725 million. This is comprised of $600 million of undrawn capacity on a revolving credit facility and $125 million of unrestricted cash. Overall, we significantly improved our financial flexibility in 2024, finishing the year with total debt of $1.5 billion, down from $1.7 billion the prior year, reducing our total debt by $203 million in the year and representing a net leverage ratio that remained relatively flat at 2.21 times. During the fourth quarter and throughout 2024, we continued to deliver on our commitment to return significant capital to shareholders. We repurchased $70 million of common stock in the fourth quarter and a total of $296 million during 2024. Compared to a year ago, our share count has been meaningfully reduced by 32 million shares, or 13% of shares outstanding compared to the end of 2023. As Olivier mentioned earlier, our board authorized a new share repurchase program of $250 million and we are planning to pay $50 million in dividends in 2025 to be paid quarterly. In early 2025, it's also important to note that we also refinanced our term loans, which should generate interest savings of $3 million annually. The new term loan will mature in 2032, extending the maturity of the company’s existing term loan by approximately four years. We also refinanced and upsized our revolving credit facility to $630 million with a maturity in 2030. Now, as we turn to Slide 11, I’d like to take the time to introduce that for 2025 and in the future, we will be using adjusted EBIT as a new financial metric. This will provide additional insight into our financial performance and profitability to align with our peer group reporting practice and highlight the strength of our asset-light operating model. For the full year 2024, our adjusted EBIT was $485 million, achieving an industry leading margin of 14%. Now let’s move to Slide 12 to see our 2025 outlook for adjusted EBIT and our other financial metrics. You can see our 2025 outlook which applies the following midpoints. Net sales of $3.4 billion, net sales growth at constant currency of minus 1%, net income of $232 million, adjusted EBITDA of $575 million, adjusted EBIT of $457 million, net cash provided by operating activities of $402 million and an adjusted free cash flow of $345 million. This outlook reflects an improvement in the commercial vehicle market both on-highway and off-highway which will partially offset the continued softness expected in the light vehicle industry. It also includes the continued benefit of the sustainable fixed cost actions we mentioned earlier, which were implemented in 2024. When we exclude the negative effect of foreign exchange, our adjusted EBITDA is flat in 2025 compared to 2024 and our adjusted EBIT is down only 10 basis points due to a slightly higher stock compensation and depreciation. In this relatively flat revenue environment, we plan to execute productivity gains and pass through pricing. At the same time, we remain focused on increasing customer interest across all regions and verticals for our zero emission products and we expect a slight increase in our R&D spending to 4.6% of sales, up 10 basis points from 2024. We expect to dedicate greater than 50% of this spend in 2025 to zero emissions technologies, which while still meaningfully investing in turbo. On Slide 13 you see the walk of adjusted EBITDA from 2024 to our 2025 outlook. As mentioned on the previous slide, our 2025 adjusted EBITDA outlook midpoint is $575 million, a decline of $23 million versus 2024 while keeping margin flat year-over-year at 17.2%. The decline is driven by the impact of unfavorable foreign exchange, mainly driven by U.S. dollar appreciation versus the euro. As previously mentioned, excluding foreign exchange, our adjusted EBITDA is expected to be flat versus 2024. We expect to continue to execute on our productivity actions and deliver operational performance which will offset projected product mix and volume headwinds in 2025. The actions taken in 2024 to improve productivity performance will also continue to benefit the company's performance and preserve strong margins in 2025 without sacrificing investment in new technologies, which, as previously mentioned, will remain a priority. And with that, I will turn it back over to Olivier for closing remarks.
Olivier Rabiller: Thanks, Sean. Let's turn now to Slide 14. Garrett continues to be well positioned for long-term success. We are strengthening our leadership position in the turbo industry while developing new technologies and expanding into industrial applications. Our operational framework is highly cash generative, allowing us to invest in new technologies while reducing debt and returning cash to shareholders. Let's now turn to Slide 15. In 2024, we have proven once again the resilience of our financial framework, delivering strong financial results and achieving a 17.2% adjusted EBITDA margin. Our financial performance positions us well to continue to deliver strong margin and free cash flow in similar industry conditions in 2025. These financial results enabled us to return value to our shareholders through share repurchases totaling $296 million. And we expect to continue returning significant value to shareholders in 2025 through a combination of additional share repurchase under our new $250 million share repurchase program and $50 million in dividends paid quarterly. In addition, the structural cost actions that we drove in 2024 in anticipation of a softer [ph] industry outlook for 2025 will enable us to continue to deliver strong margin and free cash flow. Once again, we made significant progress this past year across existing and new differentiated technologies, setting the stage for another successful year. Our recent awards and customer recognition for our high-speed solutions for zero emission platforms prove that we are developing the right solution for the next generation of electric vehicles. Lastly, obviously, I want to take the opportunity to thank the entire Garrett team for delivering an outstanding performance in the first quarter and the full year and position well the company for success in 2025. Thank you for your time. And operator, we are now ready for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Hamed Khorsand with BWS Financial. Please go ahead.
Hamed Khorsand: Hi. So I just wanted to ask you was, how are you managing the year given a lot of the geopolitics and tariffs? And how does that affect your business going into 2025 and 2026?
Olivier Rabiller: Hamed, you're asking a very, very interesting question. Quite frankly, what we are doing is to stay as flexible as possible. It's true that today it's difficult to predict exactly what will happen and when it will happen. We tend to be very fast at reacting. We have already engaged in discussions with customers and we tend to be very fast at reacting to that kind of events. For lack of a better words, we've been facing a lot of unplanned events for the past years as an industry and we tend to be much more flexible and reactive now than we were probably five years ago. But yes, we are trying to anticipate as much as we can, but it's difficult to anticipate in a vacuum. We need to understand what we face.
Operator: The next question comes from Michael Ward with Freedom Capital. Please go ahead.
Michael Ward: Thank you. Good morning, everyone. Olivier, you mentioned in your presentation China and I wonder if you could just expand on that a little bit. I saw that – I saw on the 10-K, the revenue was down and it sounds like you have some new business with some of the local Chinese based manufacturers. Can you give a little more detail on what you're looking at in China?
Olivier Rabiller: Yes, absolutely. So China is still an important region for us. This is the biggest automotive industry in the world. And we play a significant role in China, both in commercial vehicle and in Passenger Vehicle. And what we have seen over the last few years is there has been not only a shift towards more local Chinese players, but I would say a shift towards more local new Chinese players that have come to the market sometimes through the battery electric vehicle angle and now that are pushing some other solution to the marketplace, whether it's plug-in hybrid vehicles or range extended electric vehicle that we are calling REEVs. So what we have been doing is that for some time now, we've been working with these companies that have come with new brands and new products to the marketplace. And I would say we are starting to get good traction and good success with these new players. And in some regions of the world, we tend to move from ICE to hybrid to battery electric vehicle. It seems that in China, we are seeing it moving from battery to plug-in hybrids and range extended vehicle because I think there is probably a good understanding that you need several solutions in order to satisfy the needs of the consumers. So we are very active. We are seeing a lot of pursuits on these technologies and we have been developing specific products to address the needs of those platforms. And we're trying to be quite active on the vehicle side.
Michael Ward: Okay. Are there any customers you can point to? Or it sounded like you're alluding to some new business that's kicking-in in 2026 and 2027. Did I hear that correctly?
Olivier Rabiller: You heard that correctly and I will not mention names of customers.
Michael Ward: Okay.
Olivier Rabiller: That's usually not the practice we have in the industry. It's confidential with the customers. But I would point at successful and new brands in China.
Michael Ward: Okay, perfect. Sean, on two things. First, could you on the release you talked about adjusted free cash flow of $157 million. Can you define how you're getting there?
Sean Deason: Sure. It's a very strong EBITDA performance, but then we did have quite a nice lift from working capital, which had been at use through...
Michael Ward: No, no, no, I see that, but how are you defining it? Like is it operating cash flow less CapEx?
Sean Deason: Yes, sorry. You have a rec table in the back of the deck that Olivier plays that out, but in very high level terms, it's operating cash flow less CapEx and then we exclude repositioning and other one-time charges. But that can all be found in the rec table. But at a high level – at a high level that…
Michael Ward: Okay. So when you look at your 2025 outlook, when you're talking about adjusted free cash flow, that's what you're alluding to. You're excluding any of the repositioning or the other things that are in there? I see $157 million [ph]. So they're. Okay, so there was a factoring in P notes. That was the big number, the $39 million.
Olivier Rabiller: Right. And so with that what we do is, when we factor, we don't give ourselves the benefit for that. So if we actually sell receivables, even though it's a true sale, we don't look at that as a free cash flow benefit for that quarter. So it just gets. So we would add it back in a member versus out the number four.
Michael Ward: Yes, I see it for the year. It's nothing. So. Okay. The second thing is on M&A, I never hear you talk about M&A and I'm just or I should say rarely. And are there M&A opportunities out there in your segment? Is it something you're just staying away from? Is, do you feel like you can build it internally just because of the strength on the R&D side? How do you view M&A on the overall capital allocation scheme?
Sean Deason: So the way we look at that, first we need to get back to our organic growth strategy. We have an organic growth strategy that we think is very strong. Leveraging the two legs of the company. On the one hand, it's the strengthening of the turbo business. The turbo business. We are seeing the world consolidating, we are expanding our portfolio. You've seen the big turbos we are launching on industrial. And then the second leg of the company is the development of the zero emission vehicle solutions. With the three that I've explained today, this is where resource and this is the base of our organic growth strategies. Recognizing that there are obviously some segments that we want to push more and it's quite obvious in everything we've said so far that we want to expand further on commercial vehicle, on highway, off-highway and industrial. So if you put that together, obviously a good M&A strategy should reinforce that organic growth. So like any company, we are active, we are looking. But for the time being, we have not committed to anything on the M&A side.
Olivier Rabiller: Yes. And I would just add that we are active but you don't hear us talk about it that often. Just because we have a very high bar, we do not want to take an action that will be dilutive to our shareholders. So the bar is quite high. And that's, we obviously are always looking at opportunity.
Michael Ward: Perfect. Thank you very much.
Operator: This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.